: HealthSpring, Inc. (HS) Q1 2008 Earnings Call Transcript April 30, 2008 10:00 am ET 
Executives: Herbert Fritch – Chairman, President and CEO Kevin McNamara – EVP and CFO
Analysts: Justin Lake – UBS Josh Raskin – Lehman Brothers Carl McDonald – Oppenheimer Nichol Le Smith [ph] – Wachovia Darren Miller – Goldman Sachs Gregg Genova – Deutsche Bank 
Operator: Good morning, and welcome to this HealthSpring conference call, to review its financial results for the first quarter ended March 31st, 2008. The financial results were issued yesterday after the close of market trading. If you did not receive a copy of the press release, you may find a copy under the Investor Relations tab on the HealthSpring website, www.healthspring.com. Before we begin, HealthSpring wishes to express that some statements made in this call will be forward-looking statements, as defined in the Private Securities Litigation Reform Act of 1995. Actual performance of the Company may differ from that projected in such statements. Investors should refer to statements regularly filed by the Company with the Securities and Exchange Commission for a discussion of those factors that could affect the company's operations and the forward-looking statements made in this call. The information being provided today is as of this date only, and HealthSpring expressly disclaims any obligation to release publicly any updates or revisions to these forward-looking statements to reflect any changes in expectations. In addition, certain non-GAAP financial measures may be covered in this presentation. These non-GAAP measures are reconciled to the most comparable GAAP measures in the press release, or on the Company's website. At this time, I'd like to turn the call over to Mr. Herbert Fritch, Chairman, President and Chief Executive Officer of HealthSpring. Please go ahead, sir. 
Herbert Fritch:  Thank you, operator. Welcome to the HealthSpring's 2008 first quarter earnings call. We are pleased to report a strong start to 2008, which should also drive positive momentum for the balance of the year. As we'll discuss in more detail on this call, the main drivers of the improvement in the quarter are increased revenue trends and contributions by our newly acquired Leon Medical Center Health Plans. With continuing confidence, we are pleased to be increasing our EPS guidance for the full year to a range of $1.85 to $2.00 a share.  You will hear more on guidance later from Kevin. As we expected our MA membership is down albeit only slightly from year end, primarily because of the previously disclosed exits from counties and products line changes in Alabama and Tennessee. We are now seeing MA membership to eclipse year end levels and expect continued growth throughout the year particularly with the roll out of our Optima Care product for chronic care conditions. Enrollment in which is not limited by lock in. We have continued to be (inaudible) surprised by membership that (inaudible) PDP. Retention rates on a substantial increase in membership resulting from auto-assignments in New York and California have been better than expected and PDP membership continues to grow on a monthly basis.  The biggest news in the quarter comes from our improving revenue trends. As detailed in the earnings release, our revised estimates of the final settlement of retroactive premium risk adjustment for 2007 added $12 million in additional premium revenue in the quarter, translating the $0.9 in EPS. We continue to improve our models and processes for estimating risk adjustments to premiums both for final settlements and in the year. And we believe that we will be in a position to more quickly and accurately estimate these adjustments to our premiums. Nevertheless, these positive adjustments are we believe a natural consequence of the risk scores for less healthy members and entire MLRs, entire periods catching up to our members health acuity. We also believe that the improved premium rates are the results of our strategic efforts to increase physician engagement through partnership for performance, LivingWell Health Centers and other initiatives, which are all leading to improved outcomes and to more timely and accurate capture of diagnosis codes and risk scores. Even excluding the 2007 final risk adjustment settlement in our Florida operations, our PMPM rates for the first – for the 2008 first quarter improved by 12% over the 2007 first quarter. We saw the impact of the flu on our medical expense during the first quarter, although, as we foreshadowed a month ago the increase severity and expense in some of regions was offset by the less severe flu season in Texas than we experienced a year ago, and the relatively minor impact of the flue in South Florida. On the whole, the impact of the flue on our results compared to the prior year's quarter was relatively flat and well within our expectations. Based on the CDC data in our recent inpatient admissions, we believe the flu-related adverse impact on medical expense is largely behind us. As we have discussed in the past, the seasonality of the prescription drug component of the MA-PD contributes toward a seasonally higher MLR in the first quarter. And just based on benefit design improves as we go throughout the year. This year with the widening of the risk corridor, we expect the seasonality will be more exaggerated and associated medical expense will be even more weighted toward the beginning of the year. With substantial improvements in revenue trends, we now believe that we can end the year with Medicare advantage MLRs including MA-PD at or below 80%, and are revising our guidance accordingly. Our MLR in the stand-alone PDP products was 96.8%, which was predictably high but slightly higher than our expectations. We think this increase is primarily attributable to different utilization patterns among the new members, which because of benefit design also exacerbates the MLR trends in the early part of the year including the higher utilization of brand versus generic drugs. As a result, we now believe that the PDP MLR will be slightly higher than originally anticipated, and we are revising our projected annual PDP MLR to be between 83% and 85%. We continue to be pleased with the contributions to our results from last year's acquisitions at Leon Medical Center Health Plans. This plan service-oriented culture and experience in growing, competing and thriving in the highly competitive South Florida Medicare market and spreading to other markets in the integration of their operations and ours has been relatively seamless. The recently announced 13% increase in base rates in Miami-Dade County for 2009 was a non-anticipated bonus from the acquisition.  Else was mentioned in the release, we were active buyers of our stock during the first quarter. This had a slight positive impact on EPS in the quarter and should lead to greater earnings accretion for the full year. We feel our strong balance sheet and cash position even taking into account the indebtedness incurred in the Leon acquisition combined with healthy anticipated operating cash flows allows us to be opportunistic in making additional open market purchases of HealthSpring's stock. We believe our stock at current market prices is substantially undervalued and offers an attractive investment opportunity for our excess cash. We currently have almost $30 million of additional room under our previously announced $50 million repurchase program. With that I'd like to turn the call over to Kevin to discuss the financial highlights for the quarter.
Kevin McNamara:  Thanks, Herb. Before I discuss our results in detail, I want to add more color to Herb's comments regarding the additional premium and medical expense recorded during the first quarter of 2008, related to the 2007 final retroactive risk adjustment premium settlement. In addition to the significant work that has taken place in our operating groups, our actual and finance groups which have also extended a tremendous amount of time and effort in attempting to estimate and appropriately accrue for the effects of changes in our risk scores. In January 2008, we commenced monthly uploads of coding and claims information to CMS and the current quarter adjustments arise as a result of the data uploaded during the quarter. The next step in the evolution of our accrual for risk is expected in the July CMS payment report, but we will be notified of the actual amount of payments for our risk adjustment and which we believe will substantiate the validity of our estimation techniques.  Our current guidance contemplates and gives effect to the impact on our current estimates of the risk accruals both for the year in the year as well as the 2007 and 2008 final payments, and we are hopeful that in the second half of 2008 and beyond material adjustments for risk accruals in a particular quarter will no longer be necessary and that our estimates will be refined on a monthly basis in a fashion similar to our current medial claims accrual process. Moving to the quarter's results, we were pleased with their performance including our reported quarterly net income of $21.1 million or $0.37 per diluted share, compared to 2007 first quarter EPS of $0.25. Significant factors impacting the 2008 first quarter results were the following. On the positive front, the previously mentioned $12 million of additional premium revenue for the 2007 final retroactive risk adjustment premium settlements recorded during the first quarter of 2008, the inclusion of the operations really [ph] on Medical Center Health Plans. A 133% year over year, and 85% sequential growth in our PDP membership, and a reported 21% increase in the PMPM rate for our Medicare Advantage members, and 3% in the PMPM rate of our PDP members. On the negative side, 275 basis point year-over-year erosion in the MLR of our PDP business, a year-over-year increase of $15.4 million and a sequential increase of $8.1 million in SG&A expenses. Expected declines in the profit contributed by our commercial business, and additional amortization expense of $3.3 million, an incremental interest expense of $5.3 million related to the acquisition of LMC Health Plans. On the membership front, we've reported 152,527 Medicare Advantage members at the end of the first quarter reflecting year-to-year growth of 26%. 26,681 of these MA members are from the inclusion of LMC Health Plans in our results. Less than 1% sequential decline in our Medicare Advantage membership year to date is not unexpected as approximately 3100 members were affected by county exits in Alabama and product changes in Tennessee. Based upon where we are year to date, we have decided to reduce our year ending MA membership guidance to 156,000 to 160,000 reflecting net membership additions of approximately 3500 to 7500 between quarter end and year end. Now that we are in the lock-in period, we are optimistic that our new Optima Care product focus on the chronic care snip market will provide us with the incremental monthly growth. PDP membership of 258,012 is up 133% year over year, which is tracking slightly better than our expectations. We had anticipated approximately 25% churn over within the population of auto-assigned members we received in January. Yet the experience today would suggest that retention has been much better. We've updated our guidance to assume year ending PDP membership of 265,000 to 275,000.  Total revenue in the first quarter was $552.6 million, an increase of $196.3 million or 55% versus the prior year first quarter. Medicare Advantage revenue was up 54% or $160.5 million to $459.3 million compared to $298.8 million in the prior year. Contributing to this increase was the aforementioned 2007 final settlement risk adjustment premium accrued during the first quarter of 2008, the inclusion of the Florida operations in our 2008 results, a reported 21% increase in MA premium PMPMs and 27% growth in MA member months. Excluding the impact of Florida, MA PMPM, premium PMPMs were up 16% over the first quarter of 2007. Further excluding the risk adjustment yield to 12% increase that Herb referred to earlier. PDP premiums were $79.2 million in the first quarter of 2008, an increase of $46.3 million or 140% versus the first quarter of 2007. This increase was driven by the 133% increase in PDP membership and PDP PMPM rates of $103 in the 2008 first quarter, an increase of 3% year over year. Fee revenue for the quarter increased $0.9 million as compared to the first quarter of last year. The increase was primarily the result of higher premium PMPM and management fees associated with the IPAs that have come on line since last year. Investment income was down 8% or $0.4 million in the quarter due to the significant decrease in investment yields. Most of our cash investments are held in floating rate instruments so this decline is not unexpected. As we have mentioned to many of you previously, we believe we have a built-in natural hedge against fluctuations in the interest rate environment. Due to the significant floating rate debt we secured part of the LMC Health Plans acquisitions in October 2007. Total medical expense in the quarter was $444.2 million, an increase of $160.5 million or 57% versus the prior year's quarter. With respect to the components in the relative metrics, MA medical expense was $365.4 million, an increase of $122.8 million or 51% versus the comparable prior year quarter. MA medical expense PMPMs were $801, an increase of $125 or 19% versus 2007. Excluding Florida, MA medical cost PMPM were up 13% year over year. The MA MLR on a reported basis was 79.6% for the current quarter versus the prior year's 81.2%. Adjusting for the 2007 risk adjustment accrual in the 2008 first quarter, the MA MLR was 80.9%. The improvement in year to year is primarily the result of higher premiums coupled with the flu season that was in line with the expectations. The improving year to year would have been more pronounced had it not been for the more pronounced seasonality in the part fee component of our MA PD MLR through the expense of the risk corridors. PDP MLR in the first quarter increased to 96.8% versus the prior year's 94.1%. The increase in the MLR was expected due to the expansion in the risk corridors in 2008, as well as increases in the cost to prescription drugs in a different utilization pattern of brand versus generic drugs in some of our markets. Based upon what we are seeing year to date, we have decided to update our PDP MLR assumption in consideration of this increase drug trend. We are now forecasting our 2008 full year PDP MLR to be in the range of 83% to 85% versus our prior guidance of 81% to 83%. Our commercial medical expense in the first quarter deteriorated to 86.8% versus 79. – 75.9% during the first quarter of 2007. As expected, the commercial business now represents fewer than 2500 member and less than 1% of total revenue. SG&A expenses for the quarter was $62.9 million, an increase of $15.4 million at 32% versus the prior year. SG&A expenses as a percentage of revenue came in at 11.4% of total revenue in the 2008 first quarter, compared to 13.3% and 11.7% during the first and fourth quarter of 2007 respectively. On a sequential basis, SG&A expense was up $8.1 million or 15%. Significant factors contributing to the sequential increase were approximately $3.7 million of incremental selling commission costs, $700,000 in additional advertising expenses and $3 million of incremental SG&A to support the significant increase in our PDP operation. Let me reiterate, we expect SG&A to remain seasonally weighted in the first and fourth quarters as a result of the marketing and commission costs associated with the limited open enrollment period. We continue to set an internal target at or below that 11.5% of revenue for SG&A expenses in 2008.  Pre-tax income was negatively impacted by increases in depreciation and amortization and interest expense during the current quarter. Depreciation and amortization expense in the 2008 first quarter increased $4.3 million over the 2007 first quarter, primarily as result of the amortization expense on intangible assets identified in the acquisition of LMC Health Plans, and depreciation associated with capital spending (inaudible) last year and during the first quarter.  Interest expense in the 2008 first quarter increased $5.3 million over the 2007 first quarter, as a result the interest incurred on the Company's $300 million term credit facility entered into in the fourth quarter of 2007. Based upon the current rate environment, we are assuming a weighted average interest rate of approximately 6% to 7% for the year.  Moving to the balance sheet and cash flow, our balance sheet at March 31, 2008 reflected cash and cash equivalents of $360.3 million. Unregulated cash was $38.4 million. We had $292.5 million of borrowings under our new term credit facility at quarter end. Accounts receivable are up primarily as a result of our accruing risk payments. Days payable was 37 days at the end of the quarter compared with 39 at the end of 2007 and 36 at the end of the first quarter of 2007. We typically see a seasonal sequential decline in this statistic during the first quarter.  Operating cash flow for the quarter was a source of $14 million versus the use of $7.3 million in the prior year first quarter after adjusting for the early receipt of the April CMS payment March 2007. Operating cash flow during the current quarter trailed net income primarily due the accrual of current year and 2007 risk adjustment payments. As with the guidance, based upon the favorable results during the first quarter, we are updating our prior operating and financial guidance. Our new 2008 diluted EPS guidance is $1.85 to $2.00, which we expect to be substantially weighted toward the final two quarters of the year. The major components of this updated guidance are year ending MA membership of 156,000 to 160,000, PDP membership of 265,000 to 275,000 at year end. Total revenues of $2 billion to $2.2 billion. MA MLR at or below 80% for the year on an as reported basis. PDP MLR of 83% to 85% for the year. SG&A as a percentage of revenue at or below 11.5%, a tax rate of 36.1% for the year, and average fully diluted share count 56.6 million share, this is not assumed any additional share repurchase.  Operator, that concludes our prepared remarks, we can now open the lines for questions.
Operator: Thank you. (Operator instructions) The first question is from Justin Lake from UBS.
Justin Lake –:  Good morning. First question around the MLR guidance change, obviously you talked a little bit about the flu not being as impactful, but I'm just curious to (inaudible) the guidance change between the better than expected revenues, ex the risk share versus may be the risk or payments and what your outlook is – a change in your outlook for medical cost beyond the flu for the rest of the year?
UBS:  Good morning. First question around the MLR guidance change, obviously you talked a little bit about the flu not being as impactful, but I'm just curious to (inaudible) the guidance change between the better than expected revenues, ex the risk share versus may be the risk or payments and what your outlook is – a change in your outlook for medical cost beyond the flu for the rest of the year?
Herbert Fritch:   I think this change in MLR is primarily the impact of revenue but I think we are optimistic that if the flu gets behind us and we think it is that we'll see some improvement in the medical trends, but until we see them we are not building anything into the guidance.
Justin Lake –:  Okay. And then on the Part D side the higher cost, are you – as you look at the new auto-assignees that come into your book, are you seeing any difference as far as the D MLR that those tools are running versus the existing goals that you have right now, and maybe (inaudible) describe that (inaudible) changes in the different formularies that you have versus what they were on before?
UBS:  Okay. And then on the Part D side the higher cost, are you – as you look at the new auto-assignees that come into your book, are you seeing any difference as far as the D MLR that those tools are running versus the existing goals that you have right now, and maybe (inaudible) describe that (inaudible) changes in the different formularies that you have versus what they were on before?
Herbert Fritch:   I think we have seen primarily with California and New York where we've got the new membership and I don't know that we fully understand the reasons but what seems like the new membership has more of a propensity toward brand drugs and generics and they are little different than the utilization we've seen with our existing membership.
Justin Lake –:  Can you give us a magnitude there, Herb?
UBS:  Can you give us a magnitude there, Herb?
Herbert Fritch:   I don't have the exact number but obviously I think we are seeing it about 2% increase in our guidance on the MLRs for the year.
Justin Lake –:  Probably given your membership is up?
UBS:  Probably given your membership is up?
Kevin McNamara:   Justin, all things being equal, we expect that the PDP that on an annual basis to still be performing about where we expected it to start of the year. The MLR – the deterioration in the MLR guidance is pulling you one way, and then obviously the membership on an annual basis will help you the other way.
Justin Lake –: 
UBS: 
– :
Kevin McNamara:   We are in a deep thought process of (inaudible) as we speak.
Justin Lake –:  Okay. And just last question on the 2009 rates. Obviously Miami got – had another Christmas present on Miami with significant rate increase there. I'm just curious given the structure of how the relationship with Leon works the 80% of the capitation, and can you just walk us through how we should think about how much of that rate increase flows, presume that the benefit there very rich and probably it all won't pass through. Can you give us an idea of just the economics of Leon and how you expect that to impact your financial statements next year?
UBS:  Okay. And just last question on the 2009 rates. Obviously Miami got – had another Christmas present on Miami with significant rate increase there. I'm just curious given the structure of how the relationship with Leon works the 80% of the capitation, and can you just walk us through how we should think about how much of that rate increase flows, presume that the benefit there very rich and probably it all won't pass through. Can you give us an idea of just the economics of Leon and how you expect that to impact your financial statements next year?
Kevin McNamara:   Well, I would take part of that and Herb can get the other part, the benefit side of it. But on the mechanics of the Leon transaction, Justin we set a 80-point medical budget and then we share 50/50 up and down on a 5-point bend on that. So, we would both cheer in it, both up and down and obviously the mechanics of that rate increase got to be worked through the bid process and you've got to look at you benefits. I'll let Herb speak to that.
Herbert Fritch: 
– :
Justin Lake –:  So, it's 50/50 within a 5% bend and then it's your full (inaudible) one way or the other?
UBS:  So, it's 50/50 within a 5% bend and then it's your full (inaudible) one way or the other?
Herbert Fritch:   Right. 
Kevin McNamara:   Correct.
Justin Lake –:  All right, Herb. Thanks a lot guys.
UBS:  All right, Herb. Thanks a lot guys.
Operator: Moving on, we'll take a question from Charles Boorady from Citi. Mr. Boorady, your line open, please go ahead. Hearing no response, we'll move on to Josh Raskin from Lehman Brothers.
Josh Raskin –:  Hi, thanks there. Can you hear me? 
Lehman Brothers:  Hi, thanks there. Can you hear me? 
Herbert Fritch:   Yes. 
Kevin McNamara:   Yes.
Josh Raskin –: Okay. Great. Couple of quick questions. One, I think you sort of just addressed this, but I just want to touch a little bit more in the PDP MLR. You talked a little about the brand verses generic utilization preference and obviously in light of what we've seen from some of the competitors that it appears sort of heightened risk with program. So, I'm curious how you are sort of looking at selection issues understanding that you are virtually all through those items thinking that which really matters. But how do you avoid may be some of the pit falls and what are your thoughts in 2009, is this your way to experience something that's a little more concerning or do you think at the end of the day you are still interested in growing that to a population? 
Lehman Brothers: Okay. Great. Couple of quick questions. One, I think you sort of just addressed this, but I just want to touch a little bit more in the PDP MLR. You talked a little about the brand verses generic utilization preference and obviously in light of what we've seen from some of the competitors that it appears sort of heightened risk with program. So, I'm curious how you are sort of looking at selection issues understanding that you are virtually all through those items thinking that which really matters. But how do you avoid may be some of the pit falls and what are your thoughts in 2009, is this your way to experience something that's a little more concerning or do you think at the end of the day you are still interested in growing that to a population? 
Kevin McNamara:  No, it's still a very profitable product as far as we are concerned and the margins are well within what we think are acceptable. We've always addressed it with close formulary and we continue to, we think that's the right approach for this population. It's just we have seen a little bit different utilization with this new membership but it's not that we feel like we are loosing through the (inaudible) it's just the margins are a little over on this new population and existing members.
Josh Raskin –:  Right. Okay. That's interesting. And then just similarly on the PDP, I guess EMLR [ph] was up a couple 100 basis points in the quarter. I think I would expect it to actually in light of the bigger mix, that's the bigger (inaudible) as well as the core towards (inaudible) would have actually expect to see a little bit more seasonality. So, were there any favorable sort of offset, was there anything positive in the PDP numbers?
Lehman Brothers:  Right. Okay. That's interesting. And then just similarly on the PDP, I guess EMLR [ph] was up a couple 100 basis points in the quarter. I think I would expect it to actually in light of the bigger mix, that's the bigger (inaudible) as well as the core towards (inaudible) would have actually expect to see a little bit more seasonality. So, were there any favorable sort of offset, was there anything positive in the PDP numbers?
Kevin McNamara:  I don't think so. Like I said it wasn't huge difference from our expectations but it was up a little bit and largely based on a little higher utilization of brands and the new members. 
Herbert Fritch:  That's about it. You have to understand on a standalone PDP virtually 100% of that business is duals [ph] and always has been.
Josh Raskin –:  Right and I understand that. Okay. And then just last question. We got the MA rate for 2009 and obviously we talked about update already, but I'm just curious what are your expected overall yield for 2009 just based on you book of business right now?
Lehman Brothers:  Right and I understand that. Okay. And then just last question. We got the MA rate for 2009 and obviously we talked about update already, but I'm just curious what are your expected overall yield for 2009 just based on you book of business right now?
Kevin McNamara:  While just based on base rate tables, most of the other markets beyond date I think came in or around 3.5%, and I believe we are looking at budgeting about 5% increase with risk adjustment and recalibration and all the other things that went on in 2009. 
Josh Raskin –:  Okay, okay. Thank you.
Lehman Brothers:  Okay, okay. Thank you.
Operator: Our next question comes from Carl McDonald from Oppenheimer.
Carl McDonald –:  I think just one question from me which was – how do you think the proposed CMS change to the risk adjustment factors that was discussed earlier this year would have impacted the (inaudible) rate, did you feel like you were significantly exposed in terms of having risk scores that were twice the industry?
Oppenheimer:  I think just one question from me which was – how do you think the proposed CMS change to the risk adjustment factors that was discussed earlier this year would have impacted the (inaudible) rate, did you feel like you were significantly exposed in terms of having risk scores that were twice the industry?
Herbert Fritch:  We are still not certain of that. To my knowledge, one way or another I think we certainly thought there might be a chance in some of our markets, we've been in that category but a couple of markets Illinois and Florida were clearly excluded because they started later. But there were some we were a little concerned about that we find one or more of the markets in but now we feel it is a positive that they switch to methodology on that.
Kevin McNamara: 
– :
Carl McDonald –: 
Oppenheimer: 
– :
Kevin McNamara:  That's where we are in the blind [ph] too.
Carl McDonald –:  Got it. Okay. Thank you.
Oppenheimer:  Got it. Okay. Thank you.
Operator:  We'll go next to Matt Perry from Wachovia
Nichol Le Smith –:  Hi, this is actually Nichol Le Smith [ph] in for Matt Perry. Just have a few questions, as you said in your comments, excluding the risk adjustment in your MA and premium PMPM basis was quite a bit. Just want to get a color on what was behind that, and then does that translate into continuously for the rest of the year or do you just see that as a onetime account [ph]? 
Wachovia:  Hi, this is actually Nichol Le Smith [ph] in for Matt Perry. Just have a few questions, as you said in your comments, excluding the risk adjustment in your MA and premium PMPM basis was quite a bit. Just want to get a color on what was behind that, and then does that translate into continuously for the rest of the year or do you just see that as a onetime account [ph]? 
Kevin McNamara:   I'm not exactly sure of how to respond to that. Our risk scores are up for 2008 even excluding the positive impact of the final 2007 settlement and that will carry through all of 2008. That was the 12% that I think we referred to.
Nichol Le Smith –:  Okay. And then just a second question, looking at your SG&A ratio, would you say that the (inaudible) 4% is a good run rate?
Wachovia:  Okay. And then just a second question, looking at your SG&A ratio, would you say that the (inaudible) 4% is a good run rate?
Kevin McNamara:   Well, the guidance is 11.5 or better. So, you could model on how do you think appropriately.
Nichol Le Smith –:  Okay. Thank you.
Wachovia:  Okay. Thank you.
Operator:  And we have a question from Darren Miller from Goldman Sachs.
Darren Miller –:  Good morning. Herb, I was wondering post lock-in if there's any markets where you feel like your products are better positioned and also if you can just remind me where are you going to be with your chronic snip products?
Goldman Sachs:  Good morning. Herb, I was wondering post lock-in if there's any markets where you feel like your products are better positioned and also if you can just remind me where are you going to be with your chronic snip products?
Herbert Fritch:  Well, I'll take the last one first, that's easy. The chronic snip products are everywhere except Florida. We didn't – we weren't involved in the bids, pre-acquisition and with the more (inaudible) we were unable to get those into Florida. Generally, we feel pretty good about the chronic snip capabilities in addition to being able market in our dual snip products that we've had historically and probably more than doubles our potential population to enroll and lock-in environment. So, we feel pretty optimistic about it and hopefully will start to see some growth from this point forward.
Darren Miller –:  Any compelling offerings from competitors in specific markets that you would be competed against, first lock in?
Goldman Sachs:  Any compelling offerings from competitors in specific markets that you would be competed against, first lock in?
Herbert Fritch:  I'm not aware of anything new we did. Last year we competed with the chronic snip product primarily in Texas that hurt our net growth there a little bit, but we think we are pretty well positioned to deal with that this year, and then the other markets I'm not aware of a lot of new snip products that have come into play in the other markets particularly. 
Darren Miller –:  Okay. And the recalibration of the HCC model, you guys have a sense of what impact that has on you guys?
Goldman Sachs:  Okay. And the recalibration of the HCC model, you guys have a sense of what impact that has on you guys?
Kevin McNamara:  Not really, Darren. We'd rather not comment on that.
Darren Miller –:  Okay. And then Herb, just a quick update on the political environment and with the July 1 position fee cut coming up, what's your take?
Goldman Sachs:  Okay. And then Herb, just a quick update on the political environment and with the July 1 position fee cut coming up, what's your take?
Herbert Fritch:  Well, it's been tough been to predict, that's for sure. I know there is a focus on private fee for service, there's a focus on sales and marketing restrictions in methodologies I think. But I expect we will – I've always expect that I guess I was probably surprised, we'll see some rate cut probably won't go into effect now until 2010 but I don't expect it to be major. I think it's something at least we feel will be able to deal with pretty well.
Darren Miller –:  Right. Thank you.
Goldman Sachs:  Right. Thank you.
Operator:  Our next question is from Gregg Genova from Deutsche Bank.
Gregg Genova –:  Hi, good morning. Could you spike out the revenue contribution from the end of the quarter and also if the accretion from Leon are the same still, I think you guys had said it was $0.15 for the year?
Deutsche Bank:  Hi, good morning. Could you spike out the revenue contribution from the end of the quarter and also if the accretion from Leon are the same still, I think you guys had said it was $0.15 for the year?
Kevin McNamara:  Well, we are not going to specifically carve out and talk line item by line item on Leon. What I encourage you to do Gregg is there obviously (inaudible) and you can get what you need out of that when we file it.
Gregg Genova –:  Okay. How about the accretion for the year, is that still a lot of the same expectation?
Deutsche Bank:  Okay. How about the accretion for the year, is that still a lot of the same expectation?
Kevin McNamara:  We haven't had any adjustments unless your guidance on accretion on that transaction. 
Gregg Genova –:  Okay. Thanks. And just lastly, any direction on cash flow guidance for the full year?
Deutsche Bank:  Okay. Thanks. And just lastly, any direction on cash flow guidance for the full year?
Kevin McNamara:  I guess I can make the general comment. We get that comment a lot. We think will be some multiple of net income. We are still really trying to figure out what multiple is, whether it's o 1-2,1-3,1-4 we'll continue to try to work on that. I know you all are trying to get to that, but we are still trying to get our hands around that.
Gregg Genova –:  Okay. Thanks.
Deutsche Bank:  Okay. Thanks.
Operator:  And it appears there are no further questions today. Gentlemen, I'll turn the conference back over to you.
Herbert Fritch:  Well, thanks a lot for your interest in attendance, so we look forward to next quarter call.
Operator:  And that does conclude our conference today. Thank you all for your participation.